Operator: Good afternoon, ladies and gentlemen, and welcome to the 2013 Fourth Quarter and Year-end Conference Call. It is now my pleasure to introduce your host, Mr. Scott Turicchi, President of j2 Global. Thank you. Mr. Turicchi, you may now begin.
Robert Scott Turicchi: Thank you very much. Good afternoon, and welcome to the j2 Global’s investor conference call for the fourth fiscal quarter of 2013. As the operator just mentioned, I'm Scott Turicchi, the President of j2 Global, and with me today is Hemi Zucker, our CEO; and Kathy Griggs, our CFO. This continues to be a very exciting time for j2. During the call we will discuss our Q4 2013 and full-year financial results, provides you an update on our business segments and introduce adjusted earnings and EPS as well as provide 2014 financial guidance. I will remind you that our Board has also increased the quarterly dividend to a payout ratio of $0.2675 per share. We will use the presentation as a roadmap for today's call. A copy of which is available at our website. When you launch the webcast, there is a button on the viewer on the right-hand side which will allow you to expand the site of the slides. If you have not yet received a copy of the press release, you may access it through our corporate website at j2global.com/press. In addition, you will be able to access the webcast from this site. After we complete the formal presentation, we will conduct a Q&A session. The operator will instruct you at that time regarding the procedures for asking a question. However, at any time, you may e-mail us question at investor@j2global.com. Before beginning our prepared remarks, I will read the Safe Harbor language. As you know, this call and the webcast includes forward-looking statements. Such statements involve risks and uncertainties that could cause actual results to differ materially from the anticipated results. Some of those risks and uncertainties include, but are not limited to the risk factors that we have disclosed in our SEC filings, including our 10-K filings, recent 10-Q filings, various proxy statements and 8-K filings, as well as the additional risk factors that we've included as part of the slide show for the webcast. We refer you to discussions in those documents regarding Safe Harbor language, as well as forward-looking statements. Before turning the presentation over to Kathy, let me address adjusted diluted EPS. Beginning now in the four fiscal quarter of 2014 -- 2013 in order to provide better insight and clarity in their operations, we will be presenting adjusted diluted earnings and adjusted diluted earnings per share. Adjusted diluted EPS is a non-GAAP financial measure calculated by excluding from net income, the impact of share-based compensation, amortization expense and certain significant items that are non-operational or non-recurring in nature, in each case net of tax. We believe that these measures provide relevant and useful information to investors and other users of financial data and evaluating the effectiveness of our operations and online business trends. More specifically a few return to Slide 4. You will see adjusted EPS compared to non-GAAP EPS. The main difference between the two is the amortization of intangibles related to our mergers and acquisition program. As you can see in fiscal year 2009, about 6% of our non-GAAP EPS included amortization related to historic M&A views. And it’s about $0.11 per share that year. In the most recent fiscal year just concluded that grew to 15% of our non-GAAP EPS or $0.42 per share. We believe this percentage is likely to increase as we accelerate both the pace of our M&A program and the average size of the transactions. I'll now turn the presentation over to Kathy, to discuss the financial results in further detail.
Kathleen M. Griggs: Thank you, Scott. Good afternoon, ladies and gentlemen. Our Q4 2013 revenues were $138 million, consisting of $96.2 million in Business Cloud Services revenues, and $41.8 million in Digital Media revenues. Business cloud there is this revenue to include $1.6 million in IP Licensing revenues. Business costs services revenue excluding IP licensing revenue increased 5% to $94.6 million versus Q4 2012 at $19.3 million. Media revenue increased 332% to $41.8 million versus $9.7 million last year and IP licensing revenues decreased by $0.5 million to $1.6 million versus $2.1 million in last year’s Q4. As we have mentioned in the past, IP licensing revenues are highly volatile and difficult to predict as litigation is often involved. EBITDA increased 27% from $51.7 million in Q4 2012 to $65.6 million in Q4 2013. Please refer to Slide 6 in our presentation for our Business Cloud Services segment financial results. For Q4 2013, that segment achieved the following non-GAAP results. Cloud Services revenue growth versus Q4 2012 of 4.3% from $92.3 million to $96.2 million. Gross margin of 81.6%, operating margin of 44.5%, operating income of $42.8 million and EBITDA margin of 51.4% and EBITDA of $49.5 million. On Slide 6, we break out our IP specific revenues so you could assess the impact of those licensing revenue on the larger business Cloud services segment. Our IP revenue for the quarter was $1.6 million. Our cancel rate continued to improve to a new record low of 2.17% for Q4, 2013, better than the same quarter last year. We added approximately 17,000 paid DIDs this quarter. And at quarter end, our paid DID base reached a record 2.23 million. ARPU was $12.75 per DID this quarter versus $12.87 last quarter. The decrease is primarily due to the growth in corporate and international users. Moving to our Digital Media segment, the business achieved the following non-GAAP results: revenue of $41.8 million, an increase of 28% from Q3; gross margin of 89.7%; operating margin of 27.4%; and operating income of $11.6 million; EBITDA margin of 38.5% and EBITDA of $16.1 million, the highest margin achieved this year. As I’ve mentioned in the past due to seasonality Q4 Digital Media revenues generally represent approximately one third of the annual total for this segment. Given the late release of the new gaming consoles and the subsequent release of the games themselves, we expect a bit stronger than seasonally expected first quarter in 2014 for our IGN subsidiary. 2013 was a year to prove out j2’s diversification strategy both within the Cloud segment as well as into new segments with our Digital Media assets. In the fourth quarter of 2013 we acquired the remaining shares of Ziff Davis, which j2 did not already own from certain ZD owner employees. In connection with this transaction we recognized the one-time non-cash loss for book purposes of 14.4 million. This remaining of Ziff Davis, which j2 did not already own was previously carried on our balance sheet as debt under the header of mandatorily redeemable financial instruments. This redemption to achieve 100% ownership is accounted for as an extinguishment of debt for book purposes and the loss represents a difference between the carrying amount and the fair value at the time of the different -- from the extinguishment. With the exceptional growth we are seeing in our Digital Media business, we are excited to now finally own 100% of the business. Please refer to the 8-K j2 filed in early January in reference to this transaction. Please refer to Slide 25 with the presentation for a recap of our Q4 2013 non-GAAP consolidated operating results and to the supplemental schedule at the end of the presentation for a reconciliation of all non-GAAP financial measures to the nearest GAAP equivalent as well as our adjusted diluted EPS. On a consolidated non-GAAP basis, net income for the quarter was $37.5 million. Consolidated non-GAAP growth and operating margins were 84.1% and 39.3% respectively. For Q4 2013 we achieved non-GAAP EPS of $0.80 per diluted share compared to $0.70 in Q4 2012, primarily due to strong seasonal performance in our Digital Media segment. As we always have, we have acknowledged the amortization of intangibles in terms of EPS on an ongoing basis in the last four quarters. For Q4 2013 amortization of intangibles on a pre-tax basis for the Cloud and Media segments were 5 million and 3.7 million respectively. This represents 5.2% of revenue for the Business Cloud Services segment and 8.7% of revenue for the Digital Media segment. Total amortization of intangibles represents approximately $0.11 per share of EPS. As Scott mentioned previously, our adjusted EPS for the current period is reflected on Slide 4. Our adjusted diluted EPS for the current period is $0.91 per diluted shares as we’re adjusting for amortization of intangibles. Please refer to Slide 27 at the end of the presentation for a five-year reconciliation of all adjusted financial measures to the nearest GAAP equivalent. Going forward, our non-GAAP EPS will be shown as adjusted diluted EPS and adjusted earnings. Consolidated free cash flow for the quarter was $50.4 million, representing 37% of revenues. Our cash and investment balances were approximately $346 million at December 31, 2013, up from $344 million at the end of 2012 despite returning $65 million to our shareholders and bondholders in the form of interest and dividends and investing $136 million for acquisition and additional patents. Today, we announced our 11th consecutive quarterly dividend and 10th consecutive dividend increase. Specifically, our Board of Directors has approved a dividend payout of $0.2625 per share, payable on March 10 to shareholders of record as of February 24. Since starting our dividend program in 2011, we have increased our quarterly payout by 31% on a cumulatively basis. Inclusive of our March 10 dividend, we have now returned $117 million to our shareholders or $2.51 per share through cash dividend payments. Gains or losses from fluctuations in foreign currencies were not material to either our Q4 2013 or Q4 2012 results. Our estimated effective non-GAAP tax rate for Q4 2013 was 24.3%, up from the 19.8% rate for Q4 2012 due to additional domestic income which is taxed at a higher rate. We anticipate our 2014 adjusted effective tax rate to be between 27% and 29% due to additional domestic income. In conclusion, let me remind you that the supplemental schedules at the end of the presentation will provide you with more information on our metrics, as well as our non-GAAP to GAAP reconciliation and our adjusted earnings per share. Now I'll turn the call over to Hemi, who will provide you with an overview of our business units.
Nehemia Zucker: Thank you, Kathy, and good afternoon, everybody. 2013 was an amazing year. We grew our revenue to $520 million. This is an amazing 40% year-over-year growth. Last quarter it's like j2 do not grow 40% year-over-year. j2 is already 18 years old and 40% growth year-over-year is a rare achievement for a company in our stage. More exciting is that with all this growth and all the acquisitions and all the dividends and everything that we paid through 2013, we ended the year with nearly $350 million in the bank, which is actually more than we had when we started the year. Now for 2014 our revenue budget is calling for 14% year-over-year growth. This is a result of any material acquisition that are ahead of us from this point on and again like 2013 we’re increasing our profitability and are still extremely ambitious for further success and growth. So with this excitement let me to move to Page 9. Page 9. Here I would like to talk about our 2013 accomplishment which was a year of diversification. During 2013, we proved ourselves and the world that we can successfully acquire and most importantly integrate and diversify the j2 business. We now have successfully diversified j2 into three distinct categories; the Cloud business, the Media business and the IP Licensing. Since Q4 of 2012, we have acquired four of our largest acquisition ever. If you remember our largest acquisition revenue wise was when we bought Protus several years ago. Then, at the end of ’12 we bought Ziff Davis. Then in early at the beginning of 2013 we acquired IGN, then in the second half of the year NetShelter and last week LiveDrive. All those acquisitions are in the order of the largest from two to fifth largest acquisition that we did. In all, we made seven significant acquisition during 2013 and we are proud with the large variety of this acquisition. For example, we bought DID and non-DID based revenues, we bought companies that are small and large from under $100,000 annual revenue to over $50 million in revenue and we bought in many countries, in Ireland, Australia, U.K., Iceland, Netherlands, Canada, U.S all over the map very successfully and already integrating them. Our M&A strategy is portable and proved themselves to be amazing and we're continuing to go across spaces and geography. Now let me talk a little bit about our Cloud and Media business. Our Cloud business in 2013 grew $28 million, 8% versus prior year. And in 2013 we’ve achieved or we’ve reached each IP Licensing revenue of $90 million, which is 107% versus prior year and our non-DID based revenue grew to $29 million which is 23% versus the previous year. In our Media business, we’ve created a leading digital public share in tech, in games and in men' lifestyle. All this was done during the period of one year, really amazing. We added in 2013 the brands of IGN, the business of AskMen, NetShelter and TechBargains. We continue to expand our geography footprint on the Media business and we expect to launch up to a dozen new version of IGN, PCMagazine and AskMen globally. Page 10, what I will talk about Business Cloud Services or let’s go to Page 11. Here I would like to discuss our revenue growth by service. Our non-fax business of total revenue back in 2011 was only 16%, 17%. So 80% of our business in 2011 was fax. Now in 2014 fax is going to be a little bit less than 50% and non-fax is going to be bigger than 50%. It is very, very important to state that while our fax business is still growing, our other non-fax businesses are growing even faster. Let me talk now about our run rate. I'm going to compare the last quarter of 2012 versus the first quarter that we’re currently at in 2014. So our current annualized run rate versus Q4 ’12, our fax and voice which we call the DID business or the telephone number based business is continuing to grow 5% year-over-year or quarter-over-quarter. Growth areas are Japan, Australia, the U.K. and of course our corporate fax business is continuing to grow. We are predicting to reach up to $350 million by year-end for this segment of the non-DID revenue. Our Online Backup business grew at the same criteria, 900% year-over-year, high-growth organically and as acquisitions. Excluding our LiveDrive this segment of our business Online Backup grew 272%. Total backup is predicted to be approximately $50 million by year-end. Then our Hosted Email business 25%, same criteria. We entered the U.K. and this helps our growth and on the -- on lastly our Email Marketing. Our Email Marketing is in a organic only growth and they’re growing 9% year-over-year. Page 12, I’d like to talk here on the online backup. This is an amazing story. It's a new growth driver for j2. We enter this business in October 2012 with the acquisition -- sorry, 2010 with the acquisition of KeepItSafe. KeepItSafe was a start-up owned by two college friends from Trinity College in Dublin, Eoin and Jonathan with an annualized run rate of $1.7 million focused in Ireland only. Now the current annual revenue run rate is $40 million. Our data storage centers are now in seven countries and in three continents, U.S., Canada, Ireland, United Kingdom, New Zealand, the Netherlands and Iceland. Last week we acquired the very highly profitable U.K. based company called LiveDrive. And I'm sitting here planning to go and see them next week and very excited about it. This edition is expanding our j2 data backup storage into two brands, in two spaces. KeepItSafe for business, backup of desktop, laptop and servers, disaster recovery and everything to business needs. LiveDrive focus more about the professional -- on the professionals and individuals with added features like file sharing, syncing etcetera. We expect year-end 2014 revenue to come to a run rate of $55 million on the segment. And we expect that the revenue growth to come chiefly from business focused KeepItSafe segment of the business. And here Page 13, this is my last (indiscernible) slide. I love it. This is again a great achievement of the lowest ever churn rate 2.17%. This is an all-time a new record for j2 and again this achievement belongs to everybody of the j2 employees and it is extremely focused most to our revenue and our bottom line. Page 14, I would like to talk about the Digital Media. In November 2012, we bought Ziff Davis and during 2013 we took it up to almost $130 million of revenue. This is a great achievement that we all are very proud of. Page 15, Q4 Media highlights. Our traffic or measured by page view, peaked in Q4 to a new record. During Q4, we had 2.2 billion total page views on our owned-and-operated properties, IGN, AskMen, PCMagazine Group etcetera. This is representing 10% growth versus the previous quarter Q3 2013. We also had record page views in December for both AskMen 155 million and PCMagazine 148 million. Now let me talk about the IGN highlight, which is the asset that we acquired from News Corp in the beginning of 2013. Needless to say, it is fully integrated now. There is a new general manager. In December, we surpassed $4 million subscribers on our YouTube channel. We launched video apps for Sony PlayStation, as you know the new PlayStation of Sony not only have games, also have a TV channel or a video channel that is provided by us. 4.3 million videos has been viewed from the app in December and this is just the beginning. People just go there, to the stations towards the end of the month. We’ve seen 48% increase in December of page view versus December of last year. We have launched IGN India, IGN Africa, IGN Turkey in partnership with local providers. And we now have coverage in 60 countries; we're reaching it through 17 versions of IGN. With this exciting development, let me pass the microphone to Scott.
Robert Scott Turicchi: Thank you, Hemi. We will address now the 2014 outlook and if you would turn to Slide 17, I'll give you some of the underlying drivers and assumptions before actually getting into the financial estimates. If we look at our Cloud Services business, the revenue growth is coming primarily from our very profitable non-DID base business, specifically the Online Backup portion as Hemi just mentioned. However, these businesses are still in a mode of scaling up. So while they’re very profitable, they operate in EBITDA margin that is approaching 40% not quite yet to the level of the Cloud Services business as a whole which is between 49% and 52%. We expect depreciation and amortization to increase this year by $13 million to $14 million for those that wish to calculate a GAAP net earnings. Our IP Licensing revenue streams, we estimated between $4.5 million and $6.5 million. That is basically taking out what was the one-time past damages from the settlement in April of last year of about $12.5 million and resetting that to the sort of normalized expected run rate plus some modest increment beyond that as Kathy and I’ve noted both on this call and in previous call that revenue stream can be very volatile and often times revenues are subject to the outcomes of litigation, the timing of which is also uncertain. In the Media business we expect a more even distribution of the revenues in 2014 versus what we observed in 2013. For example in Q1 we expect that of the total annual revenue 20% to 22% to come into the first fiscal quarter versus last year’s 18% and as a result for the fourth fiscal quarter, 28% to 30% of the annual revenue versus 33%. Finally as a series of corporate matters, we expect our tax rate to be between 27% and 29% versus 24.3% last year, with share based compensation between $10 million and $12 million and an affective share count for calculation of EPS purposes of $48 million. Utilizing those assumptions that then produces a revenue range for 2014 between $580 million and $600 million and adjusted EPS of between $3.27 and $3.47. The following slides on 20 and following are supplemental to give you some of our metrics as well as a variety of reconciliations from the various non-GAAP measures to near stat equivalent. One final note before turning it over to the operator for questions is, as I announced at the beginning of the call the dividend was raised to $26.25 per share for shareholders of record as of February 24, with a payment date on March 10 that will be about $12 million of our cash paid in dividends. The board also extended the outstanding repurchase program through February 20, 2015 covering 2.9 million shares. And at this point I would ask the operator to come back and to instruct you to poll for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Shyam Patil from Wedbush Securities.
Shyam Patil - Wedbush Securities Inc.: Hi, guys, great quarter. The first question is, when you look at the 2014 guidance particularly for revenue; how much of that is organic versus acquired revenue from ’13 or either acquired from ’13 or except to be acquired in ’14?
Robert Scott Turicchi: Well, as you know Shyam, we don’t differentiate between the two. So, I don’t have the numbers in front of me. I think as we said in the past generally when we give that, there’s a balance between the organic and the acquired. I say that because LiveDrive is a little bit larger than the traditional deal, there’s probably a greater waiting this year to the acquired versus the organic. I would note that the media assumes no acquisitions this year. It does assume of course the full-year impact of the three deals we did last year.
Nehemia Zucker: And for 2014 from today and on we demand and a lot of baked in acquisitions with the largest of them will have a contribution of $5 million for the revenue this year, maybe $6 million not more than that.
Shyam Patil - Wedbush Securities Inc.: Great. And then in terms of the EBITDA outlook for ’14, I know you don’t guide by segment, but maybe an opportunist may reach my level, how you expect the EBITDA margins to trend for cloud services and media?
Robert Scott Turicchi: Yes, I think you should expect fairly stable cloud margins exclusive of the patents, basically with the range that we’ve talked about the $49 million to $52 million. The patents will be, if you look at it on a marginal basis sure profit in one of the slides in the back we have allocated cost to it, so that you can look at, it’s operating income impact. Most of its charges are at this point non-cash amortization into expense of previously paid legal costs. So it's still a very high EBITDA margin business of about 90%, but a much lower operating income business that’s in one of the reconciliation slides. And we’re going to see the most lift this year in margin is in the media business. Because if you look at what occurred between Q3 and Q4, you had very dramatic flow through of the incremental revenue to EBITDA, but I think it was actually more than 100% in the incremental revenue. Part of that is because in ’13 we are getting a full quarter’s benefit of the synergies of the NetShelter and IGN into the fourth fiscal quarter. We would not expect usually more than 100% flow through of revenue on sequential basis. But when you look at it year-over-year the incremental revenue flowing to EBITDA and media will be in the order of magnitude between 40% and 45% flow through. So that’s going to take that 23% EBITDA margin and I don’t know it will get to 30%, but it will trend it a lot closer to 30%.
Shyam Patil - Wedbush Securities Inc.: Okay. And then just, on that M&A comment around media, I know you’re not assuming anything in guidance for 2014, but I guess is the M&A pipeline still active in media and to the extent that you can talk about, are there any particular areas that you would call out and then just in general when you look at your M&A pipeline, how do you kind of look at the -- how do you feel about the large deal of pipeline and potentially the close booked thing in ’14?
Robert Scott Turicchi: Well, I think the pipeline has, it's hard to say whether it's then ever been more robust than it is now. I mean we are clearly firing on all cylinders including in the intellectual property areas. We bought a portfolio of patents at the end of last year. We continue to look for additional portfolios to put into that business. It takes a while to season those. So generally assets that we acquire in the intellectual property form do not produce revenue for at least 12 to 18 months out. But I think that we’ve got on the operational side of the business in terms of cloud and media, we have a number of situations we’re looking at. Now clearly as we have always stated, it is much easier to predict the probability of closing deals that are smaller intermediate in size versus the larger deals. But we have been within the last year in the deal flow of looking at larger deals, but I would not -- I remain as a matter of guidance and prognostication always bearish in terms of being able to close a large deal because the opportunity set is smaller and there are a lot of elements between finding a deal and closing that can cause it not to happen. We had actually a couple of situations last year that were in the larger categories that did not close, you know?
Nehemia Zucker: So Scott had two or three maybe even four people dedicated to acquisitions only and they have list of companies they would like to acquire, they have got a list -- and this is being including everything. And then we have a list of companies that we approach and they showed interest in selling themselves to us. Then we move to a next list, that we say is a list of companies that we gave them an offer and then the last list is companies that are in LOI. So, all those lists are active, but we have nothing in the LOI section that is viewed.
Robert Scott Turicchi: Right. And I think the other key thing to remind people of and particularly if there are those that are new to the company and new to the call, the most important thing about our M&A program is not to break the discipline by which we do our M&A. So the pipeline can be more or less full any moment in time, but we have certain economic parameters by which we do the deals and beyond those economic parameters our interest wanes or disappears completely, and that is very important. So, if you look at 2013 we did probably both in size and dollar amount spent, we did as a matter of historical fact more on media than cloud. The primary reason for that is, that’s what we found the best opportunities to deploy our capital and make a return. We found the pricing in the United States particularly on cloud based businesses to be somewhat out of our reach. So about half way to two thirds of the way through the year we focused our orientation outside of the U.S. and you started to see beginning a lot of them had been announced in close this year such as LiveDrive and Faxmate, which are starting to see that coming to provision where our deals are being done in the U.K. and Australia.
Nehemia Zucker: Yes, and to finish here, we have seen in the last quarter of ’13 the company with revenue north of $100 million we have seen plus a week or two weeks ago the company with the revenue approaching $100 million with just the wrong company for us, with the wrong valuations and we walked away. We own 9.9% of Carbonite; again the valuation is what counts here. So we are definitely ready and if we will not do any acquisition we will end up this year with $0.5 billion in cash or something like that. So we are all eager to do this, but we’re announcing this, we were comfortable to talk about.
Shyam Patil - Wedbush Securities Inc.: Great, that’s been helpful. And then, Scott I am also getting at just about 2014 adjusted EPS versus 2013 to talk how you guys are looking at the growth rate there, and I think it also might be helpful depending on what you could maybe help us understand what the EPS would be if you backed out licensing revenue or licensing EPS from those both years?
Robert Scott Turicchi: Okay. The change in licensing revenue, we did $19 million of revenues in 2013 and at the midpoint we’re projecting $5.5 million, so that’s $14.5 million change. Now most of the costs that are already embedded in the P&L because they are prior cash cost for litigation that are being amortized into expense, so that’s not going to change. So pretty much I’d say 90% to 95% of that $14.5 million goes to EBITDA, and then you can tax affect it. Now for ease of simplicity you can use a full U.S. tax rate of 40% because most not all but most of our intellectual property licensing revenues are from domestic companies and as a result it's domestically taxed. So, when you run that map through you’re going to get about it will be around it probably $0.18, $0.19 attributed to the patents that would in that 2013 that will not be at least according to our current budget and guidance in 2014. Now very much like M&A the timing of those things are very uncertain. So, we took a position this year to move to the low end of our range of expectations based upon what we know is already licensed and the pace at which those licenses are producing revenues and you can see in the fourth fiscal quarter the $1.6 million. If you annualize it it's about $6.25 million of revenues. And so, we basically try to stay within that zip code from a guidance standpoint and a budget standpoint.
Shyam Patil - Wedbush Securities Inc.: Great, that’s very helpful. Thank you guys.
Operator: Thank you. Our next question comes from Michael Latimore from Northland Capital.
Ryan Macdonald - Northland Capital Markets: Hi, this is Ryan Macdonald for Mike. The first question, so mentioned Carbonite before; how does the acquisition of LiveDrive affect if at all your stands are in Carbonite and what are your thoughts on that going forward?
Nehemia Zucker: Actually you know they are not the same business, but they are teaching us more about what Carbonite is. And you know those two deals are really separate, there’s nothing -- Scott maybe you want to elaborate.
Robert Scott Turicchi: Well I think the key thing to understand about our online backup strategy and we said this but I don’t think people necessarily believed it, is we have a strategy for building an online backup business that is primarily targeting professionals and small businesses and that strategy is independent at Carbonite, because we can’t control the decisions they will make, their stock price, their valuation and expectations. So, we continue to move forward on that path of building out our online backup business and LiveDrive is an important element currently of that. And we have a program to continue to grow that business both organically and through additional M&A on a global basis. If at some point in this intervening timeframe Carbonite becomes realistic well that would be something we would have to evaluate, but right now as you know the stock price is hovering where we made the bid roughly 16, 17 months ago.
Nehemia Zucker: And you know we’re in this business for several years only and we already plan to finish the year in a revenue that is nearly half of what Carbonite is. So, we’re moving along. We’re on the passing lane.
Ryan Macdonald - Northland Capital Markets: Okay. And then just switching up so, and talking about your guidance, what's the thought there between revenue mix between the cloud business and in the media and then as well IP?
Robert Scott Turicchi: So, IP we gave you, the 4.5% to 6.5% you can see that on the slide in the back there on 17. So, it's obviously relatively a small piece of almost the $590 million midpoint. So, if we take a look at the two remaining businesses and understand that the way we build our guidance is we’re targeting the midpoint of the range of both revenues and EPS and then we put an expansion around that for the purposes of creating guidance. But from a budgetary standpoint we’re really looking to go right down the middle. So what we’re looking at is a media business that was slightly under $130 million in 2013 growing to approximately in the mid $150 million, possibly upper $150 million range for 2014 and that leaves you a cloud based services or subscription business that will be in about the $420 million to $425 million range.
Ryan Macdonald - Northland Capital Markets: Okay. And then finally just on the fax business, I mean is there any a verticals that are showing improvements in the economy as it relates to that business?
Nehemia Zucker: More corporate business, more corporations are not replacing servers, all aging servers with additional new servers, they’re moving into the cloud, so that’s the trend. More and more of the corporate America -- corporate worldwide is moving their fast infrastructure into the cloud.
Robert Scott Turicchi: But it's not specific to a given industry, it's more systemic. I think we have, it's probably self selecting. We have a bias towards the service sector of the economy, so that’s where we spend most of our time in terms of orienting the sales force. But it's not unique to a specific industry vertical.
Nehemia Zucker: Yes.
Ryan Macdonald - Northland Capital Markets: All right. Thank you very much.
Nehemia Zucker: You are welcome.
Operator: Thank you. Our next question comes from James Breen from William Blair.
James Breen - William Blair & Company: Great, thanks for taking the question. One housekeeping question, when you add back these conversations, is it taxed or not taxed when you add it back to your EPS numbers?
Robert Scott Turicchi: Fully taxed.
James Breen - William Blair & Company: Fully taxed, okay. And then just, I mean a little bit on the growth rate, I’m looking at slide 17, so basically you’re targeting the media growth somewhere and it looks like about the mid 20 percentage rage, does that sound alright?
Robert Scott Turicchi: Sounds about right. But obviously there’s a range around it, but yes if you’re at the midpoint yes.
James Breen - William Blair & Company: And then you talked a little bit about on one of the questions about guidance around -- you gave a little bit of clarity around the margins in that business, maybe you obviously saw a good jump up in the EBITDA margins in the fourth quarter of the 39%. How do we think about that sort of seasonally moving through the next year? I think you talked about it going up the consolidated number being towards 30% for 2014, is the fourth quarter to be similar and we just sort of build up to that? Thanks.
Robert Scott Turicchi: Yes, it is the fourth quarter because it is more revenue weighted even though not as much in ’14 expectations versus ’13 actual. But because it's still the largest revenue quarter it will have the highest EBITDA margin. So, if you look at it year-over-year or from each quarter we would expect improvement in the EBITDA margin probably most notable though will be in Q1 because as Kathy mentioned earlier based on actually the timing of when the consoles are released which is applicable to IGN we’re getting into the season now where there is mass release of games which creates content opportunity and additional advertising opportunity. So we will have a better Q1 that you would “seasonally expect” that will be queue on the revenue side, but that incremental revenue above the norm will have a high flow through to EBITDA, CLC some better EBITDA margins than you would have say in Q1 of 2013.
James Breen - William Blair & Company: And you still feel like that media business, lets say it does $150 million, $155 million in 2014, as you get growth towards $200 plus million there that, that EBITDA margin there could be in the those 40% plus ranges?
Robert Scott Turicchi: Well I think the next goal is to crack through 30%, I mean the goal one is to get scale to crack through 30%. Now as we stated before the, I believe its scale is still north of $200 million, it's in the $250 million, $260 million range, so it's even above the $200 million that you’re quoting. And the real question is going to be the mix of that revenue to take us from say $155 million to $255 million that next $100 million. Because what occurs in the media business is our all series of range of revenues that go from zero margin which we try to avoid and in fact you’ll notice in our historical financials there is non-GAAP revenue. And there was revenue that was part of IGN’s business that we got out of, it was about $2.5 million I mean non-GAAP that actually was breakeven or in some cases was loosing money. And then you have a very high margin business which comes through CPM expansion for existing inventory and things like licensing revenue. So, where your margins settled out in that business in terms of at scale will be a function of the mix of revenues you have because you got a fairly wide range of EBITDA margins associated with different streams. I think that somewhere in the 30’s would clearly at scale be a target. I think there’s certainly a case to be made, it could get to 40 but I think that would be on a very good day and with basically a disproportion amount of the incremental $100 million coming from very high margin streams of revenue.
James Breen - William Blair & Company: Okay. And then just one final question on the cash flow, I know one of the things people are a little bit concerned about last quarter is of the free cash flow measure to drop from $66 million to $22 million, stack up at $50 million, so it's seems like your free cash flow yield coming from your EBITDA is much strong than it was last quarter back to where it was in the second quarter. Anything in particular there or is it just sort of timing and is that sort of a quarterly run rate revenue we can think about of generating $200 plus million here in free cash flow now?
Robert Scott Turicchi: Well again two things went on, I think it's a little bit aggressive to annualize it because the media business outperforms in Q4 and the good news is only a portion of that EBITDA is collected in Q4 because of the timing of the receivables the other portion is collected in Q1, but to annualize the $50 million is probably on the aggressive side. Countervailing that though is we had a very heavy CapEx quarter of about $7 million and we’re not expecting $28 million or $30 million run rate of CapEx. So you have some things that are kind of going in two different directions. I would put the 2014 free cash flow under $200 million, but probably trending towards it.
James Breen - William Blair & Company: Okay, perfect. Thank you very much.
Robert Scott Turicchi: Once again point of the range of guidance.
James Breen - William Blair & Company: Sure, great. Thank you.
Operator: Thank you. Our next question comes from Daniel Ives from FBR.
Daniel Ives - FBR Capital Markets & Co.: Hi, guys. So longer term, I know you don’t do that guidance after ’14, but just longer term how should we think about the fax, non-fax mix? Its almost like a longer term sort of target, obviously 50% is there but in terms of fax how should we sort of think about that high level?
Nehemia Zucker: You should think about the fax as it's still growing, but slowing down and extremely profitable. The slower it grows the most profitable it is and we are very positive about the odds of still reflecting many fax machines. And as I said before we’re growing very nicely in countries when we have no penetration of other technologies Daniel, like Japan and other markets. And in the corporate world it is between us and the server guys. So there are still those companies they decide to buy servers, they’re comfortable there today, they buy a machine, they install it and they plug into this.
Robert Scott Turicchi: But I think from an analytical standpoint you will see fax as a percentage of total revenues continue to be less and less. One because you’ve got the strong organic growth rate in media, I believe media will acquire other assets, I don’t know if it will be in ’14 or ’15 but to the earlier questions point, that business is not fully scaled yet. Part of the way to get to scale is to buy additional assets. So, we’re very bullish on looking for additional assets in media that will dilute the facts as a percentage of the whole and then you see what's going on with the online backup business and our expectations for growth there both organically and acquired. So, I think that we’re not likely to acquire anything of any size in the fax business. What is out there tends to be small. And while some of those small deals could be very important strategically in foreign jurisdictions generally I’d say there’s going to be too much work to do in the U.S.
Nehemia Zucker: Right. So if they’re simple we will take them. They’re not child small acquisition, but if they’re simple -- if they’re not simple we just not work it and Daniel you’ll remember you know we met many years ago fax is extremely profitable because j2 has perfected it to a degree that we have very high margins. So, we must still continue to fight for every organic fax account that is available but we are in this stage that the growth of fax slowed down or the growth of the backup and the media and the others are just faster.
Daniel Ives - FBR Capital Markets & Co.: Got it. With Q4 being such a big quarter for Ziff, I am just curious were there any surprises, (indiscernible) positive but just any last month or two be a year, in terms of them under the hood that you saw, I am just kind of anxious to see more.
Nehemia Zucker:
 :
Robert Scott Turicchi: But I don’t know that it was a surprise. Look we -- from an analytical standpoint we expected and we budgeted and we saw it last year even though we did not own Ziff Davis for a full fiscal quarter but we saw the ramp in revenue from Q3 to Q4 and the amount of that incremental revenue that flows through the EBITDA and we expected on a much larger base of revenue a similar phenomenon this year and that’s exactly what played out. And I know the first time you see it it's a little counter intuitive to look at $10 million jump in revenue and have all of it or almost all of it go to EBITDA, but it does show you and demonstrate the leverage that exist in that business.
Daniel Ives - FBR Capital Markets & Co.: Got it. Well guys congrats, phenomenal year, the whole team.
Nehemia Zucker: Thank you.
Robert Scott Turicchi: Bye, bye Daniel.
Operator: Thank you. Our last question comes from Greg Burns from Sidoti & Company.
Gregory Burns - Sidoti & Company: Hi, just a question on the online backup market, it looks like Carbonite is becoming more business focused and moving more towards a channel customer acquisition strategy. What is your primary means of customer acquisition in that market, is it more traditional j2 or is that channel focused and does LiveDrive and KeepItSafe have different models?
Nehemia Zucker: So we have yet to launch even one bill to Carbonite. And I think that even though they are moving up rightfully to the business segment, they operate different and I’m not sure because I don’t spend too much time analyzing something that’s small, but they’re initially still a very small part of the business, but we believe that we serve larger customers if they have different means. I get -- I am no longer, I used to read every day that how many phone numbers we have deleted. Now as you see, I don’t start my day with focusing on the DIDs it's no longer my focus. Now my focus is on those kind of businesses, the names and the deals that we’re loosing and only are looking it for and I’m yet to seeing us loosing even one single deal to Carbonite either directly or through our, I think we have 700 or 800 direct resellers. So, they are moving into something that we have not yet encountered. I don’t know more about it and I wish I would.
Gregory Burns - Sidoti & Company: (Indiscernible) about LiveDrive as well?
Nehemia Zucker: LiveDrive, okay. So LiveDrive is -- for LiveDrive is deriving its revenue mostly from the U.K. and it is being sold it's a bundle with people that are purchasing desktop, laptops and tablets. And when they buy it they pay a year upfront and it's included with the purchase of their device. And there we're trying to renew it in the second year et cetera, et cetera they have an extra drive, actually it's a drive on your computer that you can either backup the entire machine or parts of it, there is some similarity there to the Dropbox, but most of it is just backup of your entire device, it's ability to retrieve, save and share. It's a different type of business focused mostly on the individual and the channel is through retail. Retailers that fail equipment, it is going very fast, it has revenue for employee higher than anything else we have seen in j2 and extremely profitable and we have many good ideas to add services through this channel. But it's not included in our forecast. And so also we are in beta already with, and probably we will have a press release I’d say next month or even earlier on our mobile online backup services that are in testing. We believe that we are one or two companies around the world who provide it, and basically as you know it's a big headache of the network operations manager, administrates in companies when they try to secure the entire network, but then the tablets and the smartphones are inside without any security. So we are going to provide a solution that I believe is amazing solution, but again we didn't bake it into the numbers because we are conservative and we want to see how it will be accepted.
Gregory Burns - Sidoti & Company: Okay. Thank you.
Nehemia Zucker: You're welcome Greg.
Operator: Thank you. At this time, I'll turn the call back over to our speakers for closing comments.
Robert Scott Turicchi: All right. Thank you very much. We appreciate your time to listen to the fourth quarter conference call and to hear our plans for 2014. We will be issuing some press releases regarding upcoming conferences that we will be speaking at and then we will have our regular quarterly earnings call in early May. Thank you very much.
Nehemia Zucker: Thank you.